Operator: Good afternoon ladies and gentlemen and welcome to the Blink Charging Fourth Quarter 2021 Earnings Call. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, John Nesbett, Investor Relations for Blink Charging. Sir, the floor is yours.
John Nesbett: Good afternoon everyone and welcome to Blink Charging's fourth quarter and year end 2021 investor call. On the call today, we have Michael Farkas, Chairman and Chief Executive Officer, Brendan Jones, President, and Michael Rama, Chief Financial Officer. Please note that there is a slide presentation accompanying today's earnings call, whereby viewers can follow along. The slides can be accessed on the Investor Relations section of the Blink Charging website. I would like to take a moment to read the Safe Harbor statements. This conference call contains forward-looking statements as defined within Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and terms such anticipate, expect, intend, may, will, should, or other comparable terms involve risks and uncertainties because they relate to events and depend on circumstances that will occur in the future. These statements include statements regarding the intent, belief, or current expectations of Blink and members of its management, as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's periodic reports filed with the SEC and that actual results may differ materially from those contemplated by such forward-looking statements. Except as required by federal securities law, Blink undertakes no obligation to update or revise forward-looking statements to reflect changed conditions. I would now turn the call over to Michael Farkas, CEO of Blink Charging. Go ahead, Mike.
Michael Farkas: Good afternoon everyone. Thank you for joining us. We delivered a strong close to 2021 with record fourth quarter revenue of $7.9 million, driven by exceptionally strong product sales and service revenue. This growth represented a 224% increase versus fourth quarter 2020 and a 24% increase compared to the third quarter of 2021. Our fourth quarter was reflective of the momentum we've seen throughout 2021 where we continue to earn exclusive multi-year contracts with property owner partners in high density areas. In the quarter, we contracted, sold, or deployed over 3,733 commercial and residential chargers and have grown the number of commercial Blink-only charging stations by more than 253% compared to the same quarter last year. While EV currently represent a small percentage of new car sales in the US, that percentage is growing every year and the appetite to accelerate EV use is high, as evidenced by the state and federal legislation being implemented to incentivize fleet operators and individual drivers to make the switch to EVs. With this transition in mind, we continue to target high volume venues, the deployment of our chargers so that we'll be in the best position to capitalize on higher utilization rates as more EVs hit the road for personal and industrial use. In addition to Municipal locations, multifamily residential and healthcare facilities are seeing more opportunities to collaborate with commercial partners and mainstream consumer brands, as demonstrated by our recent agreements with General Motors, and Bridgestone, which Brendan will discuss in more detail later in the call. Throughout 2021, the company had successfully new grant and rebate awards from various government programs receiving $26.5 million in awards for this year. We also continued to add the most talented people in the industry to support our expected growth, with over 43 new employees added in the quarter. Internationally, we continue to leverage Blue Corner to drive our growth in Europe. And during the quarter, we announced the opening of a new office in Noida, India to enhance our ability to develop and innovate new technology and to serve as a key hub for operations serving the Asia Pacific and Middle Eastern regions. As you can see on slide five, the EV industry is in the early stages of massive growth and will continue for the foreseeable future. As a 12 year veteran, Blink is well positioned at the forefront of this expansion. We have provided this graphic before and again here, because to properly understand Blink’s opportunity, we think it's important to illustrate the anticipated potential trends for the worldwide growth of EVs and EV infrastructure. The International Energy Agency projects global EV sales to go from 3 million vehicles in 2020 to about 25 million vehicles in 2030, a 24% CAGR our growth over that period of time. The scales of EV transportation segments expected to grow exponentially; there'll be an ever-increasing need for additional charging infrastructure. According to the US Department of Energy, the country reached the milestone this past year with its 100,000th EV charger installed in 2021. Industry analysts at Guidehouse Insights forecast that we'll need a total of 120 million chargers globally by 2030, providing a tremendous opportunity for us to greatly expand our charging footprint. As you know, the legislative environment around EV adoption is extremely favorable and represents a strong catalyst for this transition to EV use. The recently passed $1.2 trillion bipartisan infrastructure bill includes $7.5 billion for the build up of our nation's EV charging network, which makes sense in the context of the administration's stated goal to have half of the vehicles sold in the US in 2030 be zero-emission vehicles and also have 500,000 EV charging stations in place by that same year. The establishment of convenient and reliable charging is a necessity for the successful transition to EV use. And we believe this legislation will provide opportunities to significantly accelerate the development and deployment of an expensive EV charging network in the United States. Looking at slide six, we outline Blink’s unique value proposition. First, our products are designed and built with the most advanced technology and with future innovation in mind. In fact, at the Consumer Electronics Show, CES, in January, we unveiled seven next-generation EV charging products, which are described in more detail a bit later. Of note, we are rolling out a portfolio of industry-leading products including both hardware and software to address the quickly growing EV fleet market. This market represents a significant and growing opportunity for us, as commercial fleets are being offered attractive incentives to make the EV transition and the federal government is aggressively making a change to green fleet vehicles. Not only are our technology solutions representative of our leadership position at the forefront of EV charging industry, they further enhance our vertical integration capabilities. A competitive advantage of our product is that, unlike many of the competing chargers in the market, our chargers are built to avoid obsolescence. We believe these new products which serve to a variety of industries will drive significant sales and revenue opportunities moving forward. In addition to our commitment to delivering the best technology, the longevity of our chargers is a critical factor contributing to the value of our owner operated model. While we offer our customers several deployment options with the goal with meeting their specific needs, we largely focus on the Blink-owned model where we identify the best technology solution for each location, then install and maintain a charger while receiving recurring revenue from its realization. So it is in our interest to ensure that our charges work effectively and efficiently for many years to come. I'd also like to point out through our various business models, we provide best-in-class products with long-term exclusive contracts with automatic extensions. These agreements allow Blink to establish a long-term market presence at our customer’s locations and add chargers at our discretion as demand increases. Our contracts are not about a parking space, our contracts about an entire address and every parking space in that location is always exclusively. Due to the breadth and depth of our offerings these are the only fully vertically integrated EV infrastructure charging company in US today. Significant and strategic expansion of our domestic and international charging footprint continues to be a key hold this. We are intent on establishing a foothold in locations that will not only meet the needs of current EV drivers, but also in areas that will enable us to capitalize on opportunities as the world continues its transition to EVs. We're very optimistic about our growth in the US and believe Europe, which has more quickly adopted a shift to EVs will serve as a replicable framework for the rollout of infrastructure in the US. We are continuously growing Blink's leadership position in the US and our acquisition of Blue Corner is accelerating our presence in Europe. Additionally, we are seeing tremendous opportunities to continue expanding our branding network in Latin America, South America and the Caribbean as these regions begin to design their EV infrastructure plans. We are positioned for the continued expansion of Blink’s footprint through organic growth, strategic partnerships, and extremely strong focus on M&A opportunities, particularly through the anticipated consolidation of the industry. Furthermore, as EV adoption accelerates, and we continue to extend our global footprint of strategically placed charging stations, we believe it will generate increasing recurring service revenues moving forward. This is an exciting and transformational time for our company, and we remain focused on providing the technology, flexibility, and service excellence that will enable us to drive growth and long-term shareholder value. We're making tremendous progress throughout the business. Thanks to the dedicated efforts of our employees and credit them for positioning Blink to deliver a strong finish to an excellent year. We look forward to driving continued momentum as we move through 2022. And I’ll now turn the call over to Brendan Jones, President of Blink to discuss more of our recent developments. Thank you.
Brendan Jones: Good afternoon, everyone. It's a pleasure to speak with everybody today. As Michael indicated, we had a great year in 2021 and we're looking forward to having another great year in 2022. We've grown our business and our network to our proven ability to introduce innovative charging technologies, provide flexible sales models and through our success winning valuable partnerships in strategic locations. Throughout 2021, we aggressively pursued and won multi-year contracts with a broad variety of well-respected commercial enterprise, healthcare facilities, plan communities, and municipalities. Slide 8 provides a bit of an overview on some of our notable US wins during calendar year 2021, which includes several municipal partners, such as partnering with the city of San Antonio to deploy 202 Blink owned Level 2 charging stations and three DC fast chargers throughout the city. We also are expanding Blink mobility via our BlueLA car sharing program with the City of Los Angeles, we will deploy and operate an additional 300 charging stations, bringing the total under program to 500, to be placed across 100 locations in Los Angeles. Additionally, we've signed a five-year agreement with Greenlight Communities to deploy 58 Blink - owned charging stations within existing and future multifamily residential communities across Arizona. Additionally, following the close of the fourth quarter, we announced two significant new partnerships, an agreement with General Motors for the deployment of Blink chargers at GM dealerships across the US and Canada and a contract with Bridgestone retail operations to deploy chargers at select groups of their Firestone Complete Auto Care and Wheel Work Service Centers. These collaborations combine our industry-leading charging technology with trusted brands, providing drivers with reliable EV charging and trusted automotive locations. In the case of Good morning, we're excited to provide the infrastructure to power GMs growing lineup of EV models. If you haven't seen or driven GMs new EV armor, it is a sight to see and it's a pleasure to drive. We believe in collaboration with mainstream consumer brands, such as Bridgestone. They play an important role in bringing EV charging to a larger audience and in turn supporting the pursuit of widespread EV adoption in the US. Now, if we flip to Slide 9, within the last 12 months, Blink has contracted, sold, deployed or acquired over 11,000 chargers both domestically and international, bringing the total charge account for the company to over 32,000 since Blink’s inception. We have a healthy mix of deployments in the United States and abroad, with 64% of total Blink chargers deployed in the United States and 36% deployed internationally, primarily in Europe, Europe through Blue Corner. In addition, as the fourth quarter, Blink provided service to over 272,000 registered members and unique users throughout the world, as global consumers increasingly make the switch to electric vehicles. We are seeing steady growing demand for our charging stations and our network of chargers is expanding exponentially across the globe. And our industry is still in the very, very early stages. We expect the transition to EVs to continue to pick up momentum, increasing our opportunities in the marketplace and driving strong revenue growth both near and long term for Blink. If we flip to Slide 10, it gives you a snapshot of our charging station deployments in key geographic locations throughout the United States and Europe. As we noted on previous calls, we strategically identify our location based on several criteria including EV concentration, and driving habits, population and density figures, historic and forecasted driving patterns, and future market growth potential. In the fourth quarter, we've deployed, deployed charging stations across 49 US states and territories and look out Alaska, we're headed your way as well. And we did this through working with both local and state government agencies across the United States and also private industry. On the international front, we are primarily growing our charging footprint through our European subsidiary Blue Corner. And we believe Blue Corner offers us a strong platform from which we can expand our charging footprint in various countries throughout the world. Now, if we now turn to slide 11, I'm sure you aware that this is an historic time for the EV and the EV infrastructure industries. The $1.2 trillion federal infrastructure bill includes an estimated $7.5 billion to be used for building the nationwide infrastructure to support the anticipated growth or the massive growth and adoption of electric vehicles. During 2021, Blink was awarded $26.5 million in grants and RFPs from several different states. As more state and local governments strengthen their commitment to EV, use and recognize the need for EV charging to enable that use. We believe Blink has a tremendous opportunity to grow our leadership position as a partner of choice for EV, charging projects and deployments. Grants and rebates are an important tool for us, allowing blink to expand our charging footprint across a larger geographic region with limited deployment expansions which shortens the payback period, enhancing our return on investment. With the growing opportunities associated with grants and rebate activity, we have expanded our in house grants and rebate team to focus on winning as many of these awards as possible. So, Blink made captured increasingly available funds to widely deployed EV charging stations across the country. Wrapping up we are very proud to have achieved significant sequential and year-over-year growth, resulting in record revenue for both the fourth quarter and for the full year 2021. Blink has consistently delivered deployment growth as well as increased product sales and service revenues. We are energized, pun intended, by the opportunities ahead of our company and our industry as the EV revolution continues to gain traction. I will now turn it over to our CFO, Michael Rama to run through some of the specific results for the quarter and year end. Michael over to you.
Michael Rama: Thank you, Brendan, and good afternoon everyone. Turning to slide 13, total revenue in the fourth quarter of 2021 grew to $7.9 million, a record for the company and an increase of 224% compared to the fourth quarter of 2020. In addition, fourth quarter revenues were up 24% over the third quarter of 2021, primarily driven by increased demand for our global EV charging infrastructure and higher service revenues. Product sales in the fourth quarter of 2021 were $5.7 million, an increase of 214% over the same period in 2020 as customers purchased greater volumes of our commercial charters, DC fast chargers and residential charters, as well as revenues generated through our Blue Corner acquisition. Fourth quarter 2021 service revenues which consists of charging service revenues network fees and ride sharing revenues of $1.8 million, an increase of 271% compared to the fourth quarter of 2020. The year-over-year growth was primarily driven by greater utilization of our chargers, the increased number of chargers on our Blink network, revenues associated with the Blink mobility Rideshare program and revenues from the Blue Corner acquisition. We believe it makes sense to combine these three service line items into one amount to differentiate between the product and service aspects of our business, as this approach also aligns with our company's strategic goal of increasing the service component of our revenue mix and growing our reoccurring revenue base. In time, as EV adoption accelerates and utilization of our charging stations improves, we anticipate seeing a larger mix of revenues to come from services. Gross profit for the fourth quarter of 2021 was approximately $1.4 million, an increase of 223% over the same period in the prior year and up 55% sequentially from the third quarter of 2021. We continue to look at ways to reduce our component costs, especially in light of the ongoing supply chain disruptions occurring globally. Operating expenses in the fourth quarter of 2021 were $20.5 million compared to $8.3 million in the prior year period. The increase year-over-year reflects our commitment to the expertise of our existing employees and to the hiring new talent in order to meet the ever-increasing demand of our products and services and to support current and expected growth. We continue to strengthen our sales, operations, marketing, IP and customer service functions, as well as growing our in-house grant and rebate program, as Brendan mentioned earlier, so we can capitalize on many EV infrastructure opportunities that lie ahead. Additionally, during the quarter, we recognized $8.3 million in higher share based expense, mostly related to a special performance options equity award. I do want to reiterate that we will continue to invest in new technology and talent across the business, but we'll ensure expenses are closely watched. Last quarter, we began the practice of presenting adjusted EBITDA. Our management team believes this non GAAP measure is useful in evaluating our company's core operating performance, because it excludes items that are either significant non-cash or non-recurring expenses. Adjusted EBITDA for the fourth quarter 2021 was a loss of $9.1 million compared to a loss of $7.1 million in the prior year period, largely due to the higher operating expenses as I just mentioned. As you can see, adjusted EBITDA loss as a percentage of revenues for the fourth quarter of 2021 improved 16 basis points compared to the third quarter of 2021 and improved by 174 basis points compared to the fourth quarter of 2020. Now turning to slide 14, you could see that, both our revenues and gross profit has performed quite well over the last several quarters. As we continue to expand our owned and operated strategy and experience greater demand for EV infrastructure and increased utilization rates, we believe we are well positioned to drive significantly improved revenue and gross profit performance moving forward. Moving to our cash position. At December 31, 2021, the company had approximately $175 million of cash, compared to $22 million at December 31, 2020. We believe we have sufficient cash on hand to fund our operations. We're pleased to have closed fiscal 2021 with record fourth quarter and full year revenue. We believe we're building a solid foundation for continued growth, as we capitalize on the significant funding and focused being placed on the establishment of a robust EV charging infrastructure, both domestically and international. I will now turn the call back over to Michael Farkas for a few final comments. Go ahead Michael.
Michael Farkas: As I mentioned earlier, we began calendar 2022 with participation at CES we, unveiled seven innovative next generation products, which you see pictured here. With this new equipment, new strengthens its capabilities as the industry's only complete end-to-end solution for the EV charging ecosystem, powering electrification globally for consumers, fleets, businesses, retailers, developers and municipalities. Our Blink fleet portal and MQ 200, help fleet managers ensure their vehicles have the opportunity to conduct claim charging efficiently at low cost and in timely manner so they are ready to roll when needed. The fleet market represents a tremendous opportunity, given that there are approximately 250,000 plus commercial and government fleets operating more than 18 million vehicles in the US alone. Our Vision IQ 200, which we previewed on our last earnings call features large high resolution screens that will allow Blink and its property owner partners to monetize locations immediately by generating advertising revenues. Within to KWD well DC fast charger combines superior speed and a smaller and lighter weight model that generates less heat. This model will be competitively priced to save customer costs, and the HQ 200, which offers both basic and advanced options. And internet connectivity for the product can be managed through the Blink charging mobile app. So we believe we're coming into 2022 in a strong position with a people technology new products and strategy to drive growth and profitability. We're excited about what we're seeing in the marketplace, and we look forward to executing on the opportunities ahead. With that, we will now open the call for questions.
Operator: Thank you. Ladies and gentlemen, the floor is now open for question.  Okay. The first question is coming from Matt Somerville with D.A. Davidson. Your line is live.
Matt Summerville: Thanks. So a couple of questions. First, can you talk about what you experienced in Q4 and what you're currently seeing from a supply chain logistics standpoint? You know how much of a hit that may have been to revenue and margin, what type of impact you may have seen in the quarter, and how we should be thinking about this in the context of modeling out 2022.
Michael Farkas: Brendan, you want to grab that? Yes. So we continue to monitor supply chains. And as we know all EV companies are being hit by supply chain constraints from predominantly around components that are in short supply. In 2001, we managed to secure, our supply work with our two key suppliers to ensure that we had the product we needed for the sales we are achieving. We continue to work with them to make sure that we have alternate suppliers to ensure that they can build the charges we need in the forecast we submitted early in queue at the end of Q3 last year. Now there's going to be some disruptions. We're seeing what we'd call modest delays, right now for the orders that we have. But every single day the major changes we’re working supplying logistics on a 24 hour basis, where before it was something that we didn't touch that frequently. There's a slight bit of price increase, mostly on the resourcing of components. It is nothing yet that is greatly impacting our margin. But this is a work in progress. The situation continues to evolve. But we keep at it on a daily basis to ensure that our customers are going to get their chargers in a requisite timeframe we've already committed to
Matt Summerville: And then just as a follow-up question, maybe can you guys comment, either numerically or at least qualitatively around what you're seeing in utilization rates both year-on-year and quarter-on-quarter? And how, what you're experiencing is comparing to your own kind of internal expectations. Thank you.
Brendan Jones: We haven't been -- utilization rates. I'll let Michael expand on that but what we do see is direct correlation between percentage of EV sales as of total fleet sales and utilization rates. And today we're still in the single-digits of total auto sales being EV's, so obviously, more EVs down the road. That's going to impact utilization considerably. Michael, you may want to follow-up with that?
Michael Farkas: Yes, as you can see in our charging revenues -- yes, as you can see, the charging revenues have increased quarter-over-quarter this year and it is a result of a more chargers on our network but also more driving going on. So as the economies have opened up, we're seeing more usage, more utilization and just a trend of increased usage. So we're encouraged and we're anticipating going into 2022 with a continued -- with a trend to continue as more EVs get on the road, and more sales and more deployments are on our network.
Matt Summerville: Got it. Thank you, guys.
Operator: Okay. The next question is coming from Gabe Daoud with Cowen. Your line is live.
Gabe Daoud: Hey, guys. Thanks for all the comments. I was just hoping we can maybe start with the new product suite that was unveiled at CES, just curious how the commercialization efforts are going. I guess, I know you brought on Amy to really pushing to the fleet channel. So curious, if there's anything you can highlight there and just how maybe back to supply chain, how that's impacting the rollout of these new products?
Michael Farkas: Yes. So I'll address it Michael, if it's okay from the commercial perspective first and then we can jump in. So yes, I will say going to see even though it was a lighter attended show and displaying those, the phones haven't stopped. Amy and her team are taking in accounts featuring our products and are now entering into several different RFPs and other business ventures to be able to get those products out. As we indicated in CES and our press announcement, those products, the MQ for the fleet market and the multifamily dwelling, the software platform and everything is being launched in Q2. So we're just a few months away from that. We anticipate sales at launch of those units. And as soon as we have news on contracts that have been signed, we are going to be sure to make everybody aware of those. And we also have existing fleet customers that we're working to flip them over to the new software as well.
Gabe Daoud: Thanks Brendan. And then maybe as a follow-up, obviously, the momentum has been strong another quarter with really nice revenue. Could you guys maybe just give us a sense of what your expectations are for 2022 on a on a revenue basis? Thank you.
Michael Farkas: Yes. Obviously -- hey, Gabe, nice to talk to you again. Yes, we're -- obviously we don't come out with guidance. But as you could see, we're -- we had a good trend in 2021, continuous growth, we're seeing the sales orders come in continuously even in the first couple months of 2022. So we're encouraged we're going to have a full year of Blue Corner under our belts for the -- for 2022. So the expectation is revenues will continue to increase in a trajectory that we've seen similar to 2021. But, obviously, we're encouraged going into 2022 with the activities we have established already in 2021. And we've seen that momentum carried forward into 2022.
Gabe Daoud: Okay, great. Thanks, Michael. Thanks, guys.
Michael Farkas: Sure.
Operator: Okay. The next question is coming from Sameer Joshi with H.C. Wainwright. Your lines live.
Sameer Joshi: Yes. Thanks, Michael, for taking my questions. So, from the very beginning, the stress of the company has been on expansion land grab, and you have been very successful on that. In the past, you talked about Greece and other countries in Europe as a potential location for expansion, and also countries in South America and Caribbean. Can you talk about briefly what these efforts are leading to?
Michael Farkas: Could you repeat the last part of your question? I couldn't hear you.
Sameer Joshi: Yes. Just the status of your progress in non-western -- non-Northern Europe, that is Greece, Italy and other locations, and then also in South America?
Michael Farkas: Okay, excellent. We are expanding through our acquisition with Blue Corner in Europe. And we're making some headway obviously in Greece, and we are the largest EV charging provider in Greece today. We've also made a decent expansion in Israel, looking at other countries in the Middle East to serve as well. And in South and Latin America, we have some very strong partners that we work with that help us deploy infrastructure in their locations as well as doing this on our own. We have some very exciting things to discuss in regards to some of those expansion plans. And we'll keep you guys posted in the next several weeks and months in regard to our international expansion.
Sameer Joshi: Just a follow-up, in India, it seems that hub is mainly for software development. Is that also going to be potential sales/service kind of office, one in Noida?
Michael Farkas: Yes, our plan is to not only use it as a technology, but also allows to springboard into the local community and area to start providing EV charging infrastructure services.
Sameer Joshi: Okay. And then the new -- 43 new employees that I think brings your headcount to 200 or more, what areas were these hires?
Michael Farkas: Brendan, do you want to take that?
Brendan Jones: Do you want me to take that? Yes, sure. So as we've been talking about, Blink heavily invested in 2021 in technology. And we did that primarily to have a new technology stack, new software, new equipment, as we emerge into this period of rapid growth. So the biggest uptick has been in technology and developers and engineers who are working to bring these products on board, and then to service them over time. Then after that, there's been a strong uptake in personnel added to the sales team. And the grants and rebates department, as is indicated by the $26.5 million that team won. We continue to increase that team, because we expect better results from them as we move into 2022. And then, the last team we continue to add to, as we expand and enter new business models, with now a lot more products than we had in 2020 than 2019, there's an increase in AP and accounts receivable on Mike’s side. So big ads across the board and least but not -- last but not least, we're building the fleet department and we started with a strong area, but technology, then sales, then finance and then on the periphery and grants and RFPs and fleet.
Sameer Joshi: Got it. Thanks. Thanks for taking my questions.
Operator:  The next question is coming from Stephen Gengaro from Stifle. Your line is live.
Stephen Gengaro: Thanks. Good afternoon, everybody. Two things for me, if you don't mind. The first is, when we think about the gross margin trajectory. And I'm thinking about this probably primarily around the two biggest segments, right, product -- the product side and then the charging side. How do you expect that to sort of evolve over the next, say, one to three years? Just kind of -- and I’m looking for 2022 guidance, which is sort of, what's the evolution of those gross margins and what are the biggest factors behind those moves?
Michael Rama: Stephen, I'll jump in that. And, obviously, gross margins are obviously a big factor of our costs, right. And as we're starting to see some, we talked about some -- a bit of pricing pressures with supply chain, where we monitor the -- we had a slight sales increase in our product -- in the pricing model early 2022. So there's going to be some pressures, we believe, on some of the margins on the product side. And even if you'll go over next couple of years, there could be some form of commoditization, and we've talked about that. So we, as you know, having -- we're being owner-operator also selling the electricity. So we're expecting margins on the electricity to be steady. So, again, between the two components, where we’re monitoring both ends of the business very carefully for -- on the margin side, but we're seeing a little bit of the pressures on the product side, the cost side.
Brendan Jones: Yes, I'll just add --
Michael Farkas: Yes, I'd like to add to that. Yes.
Brendan Jones: Go ahead, Michael.
Michael Farkas: We're in the business where the more we buy our goods, the electricity, the cheaper it gets for us. So we're in a very enviable position where our margins could theoretically increase, while keeping our prices to our customers steady. On the hardware side, I'm sure you guys have been hearing me for years openly, there will be commoditization on the hardware on the networking. It's inevitable. That's why Blink is always focused on the recurring side of the business, which is the sale of the electricity. And because of our long-term exclusive contracts when we're in a location, again, it's not about a parking space. We have exclusive long-term rights to providing EV charging services at that address. So, if that place has 500 or 600, parking spaces, those are all ours. And if you look at the legislation that's being passed globally, and it's going to be very difficult to buy an internal combustion engine car in five or 10 years from now. So, when you look at those parking lots, you may see one Blink charging station there today, you could assume that over the next few years, 20%, 25% of those spaces are going to need to be lit up with our charging stations. And it really separates us from our competitors, charge points and others where there's no commitment for those other vacations. We're the only player where we have long-term exclusive rights to provide EV charging services of any in all kinds at that address. Brendan, do you want to add something?
Stephen Gengaro: Got it. That’s helpful color, Michael Thank you. The--
Michael Farkas: You got it.
Stephen Gengaro: I know you don't want to get in the -- you don't be in the business of guidance, but your year-over-year revenue growth, I think was about 70% -- 20 -- excuse me, that's wrong. Your year-over-year revenue growth was much more -- basically tripled revenue right, you had blue corner. Do you think revenue doubles in 2022 give or take? Is that a reasonable benchmark or is that too aggressive?
Michael Farkas: Yes, I think it's a bit aggressive. I might be a bit aggressive -- you never know. It seems to be a bit aggressive. We didn't think we were going to accomplish as much growth as we did. The industry is just tremendous growth now and we're going to see some of the Biden dollars and the $7.5 billion starting to circulate. So, we'd rather be a bit conservative, but you never know.
Stephen Gengaro: Agreed. Okay. Thank you. Thanks for the color gentlemen.
Operator: Okay. The next question is coming from Vikram Bagri from Needham. Your line is life.
Vikram Bagri: Hi, good evening, everyone. I was wondering if you can help us frame the GM opportunity and I had a multi-part question on that front. GM as you know is working on their own charging hardware as well. I was wondering if any highlight the advantages your solution has for theirs. And how will you approach this opportunity, would you proactively contact the dealerships and get ahead of the competition? Would you wait for GM to push the product? And then when I look at longer term, would you look for GM to recommend your charger to their customers to potentially sell your chargers through Bridgestone stores as well.
Michael Farkas: Okay, I think the biggest takeaway you need to have from the GM transaction is validation. GM vetted all the equipment out there. We weren't the only ones every name that you could think of was competing for this project. We won because we have a better piece of equipment. It's that simple. The GM deal is us selling hardware, it's not us having recurring revenues off of the sale of electricity. We're in their dealership network, which is something that they need to protect as much as possible. They are causing them dealerships to buy our hardware and deploy in their dealerships and one of the main reasons why is because of our focus on obsolescence and being averse to it. Again, there's a very different model and producing hardware that we have than any other hardware producer. We're the only ones who actually own and operate the hardware in the field. We look at deploying hardware and having that hardware out there very differently than our competitors. And I've said this a bunch of times, they look at your hardware as an iPhone and we look at our hardware as a hot water heater. They want your customers to trade in that hardware or have upgrades quite often, as an owner and operator, we never want to have to have an upgrade on the hardware, because that costs us money. So it's just a different philosophy and because of it we firm up our hardware much better than our competitors do. You just spent an extra $5 on this or $10 on that. And that allows that charging station still in the field much longer. That's to our benefit, but it's not to the benefit of our competitors who produce hardware. So it’s just a complete different philosophy in the development of the hardware. And because of that that's the reason why we're not only at GM, CarMax, AutoNation, you go to Audi dealerships, this is the industry after vetting all the competitive products out there, then selecting us after that process. That's what the biggest takeaway on the GM contract should be. And Bridgestone, there's going to be many opportunities. Right now we're working on a pilot with them. It's one of the pilot actually doing deployments. But we believe that it's going to grow from there and ultimately there's a need to have charging infrastructure at all of their locations. I hope that answered your question.
Vikram Bagri: That's pretty helpful. And as a follow-up, I had sort of a housekeeping question. You mentioned that the grants in 2021 were 21.5. Can you describe how much of that was realized in 2021 versus how much will be realized in 2022? And another housekeeping on that front, you talked about hiring in Noida, hiring and building your teams in EU and expanding your department after hiring of Amy. I was wondering like, are you -- are you still in process of expanding the headcount? And I'm asking that in regards to how should we expect the SG&A trajectory to evolve in 2022?
Michael Farkas: Okay. The first part of the question, I’ll let Michael grab that one right after I answer the second part of the question. You know, as I stated earlier, there was a benchmark of the 100,000 charging station installed last year in America. At the same time you also heard me say that globally by 2030 even at about 120 million chargers deployed globally. The US has number on here and as between 15 million and 20 million but look at the number globally. 120 million chargers, we have maybe a few 100,000 deployed globally. This industry is going through massive, massive growth. The governments worldwide have decided that the future of mobility will be powered to electricity, and it will be EVs that are driving us globally. That's where we are. So in order for us to really properly handle that growth, our most valuable resource is human resources is people. You can't automate all these processes that we have. This is an industry that's going to be growing. It's supplanting one of the largest industries that we've had for the last 100 some odd years, which is the oil space. It's going to take time. It's not happening overnight, but it's inevitable. That's where we are today. So it's about us investing today that have the future that we want to have tomorrow. That's where we are today. This industry is growing with us or without us. We hope it's going to be with us and that takes capital and just massive investments now and again, we don't want to sell our future by selling the charging station. We'd rather own and operate that charging station. And I'm not sure, if the people on the store heard this. But British Petroleum, who owns both charging infrastructure assets and Gas Station's came out and said they're making more money on their charging stations than they are on gas pumps in certain locations. This is not us saying this. This is British Petroleum. So again, it's just a matter of investing in those right locations. Having that charging infrastructure available, having those long-term exclusive contract with those property owners. And that's exactly what we've done for the last 13 years. And we positioned ourselves exactly for this time, to develop the technology that's going to be necessary and to make the investment in deploying the infrastructure that we own and operate? Now, Michael, if you could take the first part of the question, please?
Michael Farkas: Yes. No, I'll answer, so far of the $26.5 million awarded to us in 2021. Very little --a slimmer has been recognized, we recognize a shade under 200,000 of that. So, we have the expectations are many of these are bigger projects. They're going to expand. We're working on a lot of these projects right now. We're we expect to see some of this revenue generated from the grants rebate in the latter part of 2022 and going into 2023. So these are bigger, bigger longer projects with regards to that. So again, very little 2021 has been recognized.
Vikram Bagri: Understood.
Michael Farkas: And remember, by the way, remember, this is all before the Biden programs, the programs that we were just talking about the $26.5 million. These are leftovers from Obama and Trump days. That has nothing to do with the $7.5 billion. So that's going to start restarting the popular systems, the second half of this year and going forward.
Vikram Bagri: Great. And so is it fair to assume that the entire 26.5 will be realized in next two years?
Michael Rama: I think I'll bring this closer to the projects on how long they go. But I think it's, I think it's a two to three year project window. I think the majority will be in 2020, late 2020 -- into 2023. But you could have some trickling into 2024. And, Brendan, you might have little more color on that.
Brendan Jones: Yes, I based on the contracts and the terms associated with them. So the majority, we should get through by the end of 2023. But, we get new ones every day and we got new ones in Q4. And you get the award and then you have a little bit of a lead time on the actual the consummation of the contract itself. And sometimes that's three to six months, which adds to the end date. So reasonably, yes, we'll start seeing the revenue as indicated at the end of this year, and the bulk of what was one and 2021 throughout 2023 to come in with some tailing off depending on the complexity of the project in the later years.
Vikram Bagri: Thank you very much.
Operator:  Up next, we have Noel Parks from Tuohy Brothers. Your line is live.
Noel Parks: Hi. Good afternoon. I had a couple, I wondered if could talk a little bit about the multi-family market Mike you could just sort of characterize who are the earlier adopters wondering, if it's breaking out more by region, by suburban versus more urban core locations or any patterns in that you can talk about?
Michael Farkas: The multifamily residential market.
Brendan Jones: Michael?
Michael Farkas: Yes, definitely. The multifamily residential market is an extremely important market for us. And we've developed hardware specifically for that market and back end for that market. Bottom line is, if you have charging infrastructure at home, that's where you're charging. The data is just there. So you are making tremendous efforts in that space. And it's not only having an apartment building with some subterranean parking garages or first floor parking garages. We looked at it from, whether it's on-street parking in the residential areas, whether it's mixed communities, or whether it's in dense urban areas where that same parking facility may be parking people who work there during the day and leave there at night. So any facility that has potential of residential charging on a multifamily basis we’re there and we have the right hardware and the right back end solutions to be really at the forefront of that space.
Noel Parks: Great. And I was wondering if you could just more broadly talk about how you see the state of hardware technology on the charging side now. Maybe just how it’s advanced over the past year? In terms of -- and I guess looking ahead what are their features that are growing more in importance is between sort of DC fast charging and say Level 2 charging? Is there any sort of divergence in terms of customer demand? And as a result, where I guess your development dollars need to be heading more for the near term?
Michael Farkas: We decided to look at the market and see where the massive amounts of charging is going to be taking place. Without a question, if you look at all estimates and look at the industry and where the market is, you’re looking at about 85% or so of charging is going to be done, not on superchargers, most charging will not be done at very, very fast rates. Most people will plug in a car at night, once a week or so, and then be able to drive for the entire week. And they'll wake up in the morning and their car will be fully fueled. But there are tremendous opportunities for DC fast chargers as well. What we wanted to do was, make a very, very large impact on the Level 2 marketplace and really become a leader in that arena. After that our goal was to do the same what we did for Level 2s to do for DC fast chargers. And we have plans to do so. And just in the right time. We believe we'll have a very, very nice product mix, above and beyond what we have today. And remember, we have every single type of piece of equipment that you could think of; whether it’s a DC fast charger, superchargers, all the way to a single family home dedicated parking space. And we have the Blink network that can manage all of it. It manages our hardware, proprietary hardware and our charging network also manages most of our competitors’ hardware. So you could see a Tritium, you could see an ABB unit, you could see a BTC unit, you could see other units on our network. If you look at charge points of FLO or SemaConnect or others, they don't do that. So we've looked at this industry and made sure, hey, no matter what, the most important thing for us is to analyze the space where we're deploying our hardware and making sure that the right piece of equipment is being installed in that location. And if that location requires a Level 2 charging station, that's where we deploy and if that location requires a DC fast charger, that's where we deploy. We don't have any one specific product that we put in a location. We see what's best for that location. And that's where we deploy and that's why being as fully vertically integrated as we are. It allows us to do so. It’s about making sure the right solution is in that location. It's a different model than our competitors, because they're selling a specific product, right? We’re selling the service, EV charging services. And if we have to go out of our product pool in order to make sure that that location has the right piece of equipment. That's what we do, because the Blink Network allows us to do so and still have a seamless network through our mobile application, through a web-based portal to manage and charge and operate all of these different charging stations along with ours. Obviously, we're going to choose ours if that's the appropriate solution. But again, the most important thing is for us to make sure that that location has the right piece of equipment, because ultimately, we're making our money off of the sale of electricity. There's no question about it. We sell hardware. We sell networking services. But when you talk about commoditization earlier, that's where you're going to see that, on our side of the business when we're selling kilowatt hours. It's going to be a whole different ballgame.
Noel Parks: Great. Thanks a lot.
Michael Farkas: You’re welcome.
Operator: I'd now like to turn the call back to management for closing remarks.
Michael Farkas: Okay, hold on. So, there's some technical difficulties. To close the call, I'd like to emphasize in addition to all the new technology, we're currently rolling out, we actually have a lot more to come. Without giving too much away, we're very excited about the progress we're making on a new solution that's designed to integrate the highest levels of wireless communications, EV technology and the gig economy. In short, this new solution represents the convergence of several aspects of digital communications, the gig economy and E-mobility, as expected to benefit of each location that rolls this servers out and is typically resourceful for disadvantaged communities, and being able to provide digital equality in those areas. All I could say at this point, but please stay tuned. At Blink, we provide ourselves on our ability to innovate and we're excited on offering creative ways to bring cutting edge EV charging technology to communities all over the country and throughout the world. Thank you for joining us. We are excited about the growing opportunities we're seeing to extend our footprints, grow our customer base and establish new partnerships. And we're particularly energized about introducing new products to the marketplace. We look forward to speaking with you guys again soon. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.